Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Shake Shack second quarter 2015 earnings conference call. [Operator Instructions] On the call today, we have Randy Garutti, Chief Executive Officer of Shake Shack; and Jeff Uttz, Chief Financial Officer. And now, I'd like to turn the conference over to Mr. Jeff Uttz. Please go ahead.
Jeffrey Uttz: Thank you, operator, and good afternoon, everybody. By now you all should have access to our second quarter 2015 earnings release. If not, it can be found at shakeshack.com in the Investor Relation section. Before we begin our formal remarks, I need to remind everyone that our discussions today will include forward-looking statements. These forward-looking statements are not guarantees of future performance, and therefore you should not put undue reliance on them. Actual results may differ materially from those indicated by these forward-looking statements due to a number of risks and uncertainties, including those discussed in the risk factor section of our Annual Report on Form 10-K, which was filed with the SEC on March 27, 2015, our Quarterly Report on Form 10-Q for the quarter ended April 1, 2015, which was filed with the SEC on May 15 and in our Registration Statement on Form S-1 as amended, which was originally filed with the SEC on July 20, 2015. Additionally, any forward-looking statements represent our views only as of today, and we assume no obligation to update any forward-looking statements if our views change. During today's call we will discuss non-GAAP financial measures, which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP, and reconciliations to comparable GAAP measures are available on our earnings release. Today, we filed an amended registration statement with the SEC. Our comments on today's call shall not constitute an offer to sell or the solicitation of an offer to buy, nor shall there be any sale of these securities in any state or jurisdiction in which such offer, solicitation or sale would be unlawful, prior to registration or qualification under the Securities Laws of any such state or jurisdiction. We refer all of you to our SEC filings regarding that matter. With that, I would like to turn the call over to Randy.
Randall Garutti: Thank you, Jeff, and good afternoon, everyone. In the second quarter our team has continued to execute on our plan, and we have delivered another strong quarter of outstanding operational results. We are excited to be sharing these results with you today as well as discuss what they mean for the full year outlook. I would like to highlight a few notes from the second quarter. Total revenue grew 74.7% to $48.5 million, including a 12.9% increase in same same-Shack sales on a calendar basis. Shack-level operating profit, a non-GAAP measure, increased 110.9% to $14.1 million, a 30.3% Shack-level operating profit margin. Adjusted EBITDA, a non-GAAP measure, increased 136.5% to $11.2 million. On an adjusted pro forma basis, we are $0.09 per share for the quarter, ahead of our internal expectations, driven in large part by our much stronger than expected same-Shack sales growth and strong performance across Shacks nationwide. Similar to last quarter, we attribute our stronger than anticipated performance to a number of factors, including, menu price increases taken in September 2014 and January 2015 to offset commodity cost pressures; a continued drift in sales due to the return of crinkle cut fries; a positive mix shift from our limited time offering of the ShackMeister Burger and our January custard calendar change, which added a Shake of the Week option to our seasonal custard offerings; and the extraordinary amount of press surrounding our IPO, which has cultivated newer Shack fans and an even stronger brand awareness. On May 20, after more than seven months of complete renovation, as part of our lease renewal with the city of New York, we reopened the newly improved Madison Square Park flagship. The Shack quickly regained its place as a New York institution. And we're happy to report that fans have lined up again in full force to experience the original Shack, now finally better equipped for our team to handle demand. Now, as we've noted in past quarters, this closure may have contributed to an increased comp during the last three quarters in the six Shacks and then comp base in New York City. During the quarter, we opened our first Shack in the great state of Texas, located in Austin on South Lamar Street, as part of a great new development anchored by the well-known Austin institution, The Alamo Drafthouse. We continue to execute our strategy to cluster growth in existing markets, opening our third Shack in New Jersey, at the village of Bridgewater Commons; and our second Shack in Chicago, on Michigan Avenue, on the ground floor of the impeccably restored Chicago Athletic Association, a boutique hotel overlooking Millennium Park. We also look forward to opening our second Shack in Austin, Texas later this year; as well as a second Shack in Long Island in New Hyde Park; our second Shack in Orlando on International Drive; and our third Shack in the Chicago area at the Westfield Old Orchard in Skokie, Illinois. Development conditions remain favorable for Shake Shack. And as a result, our team has been able to increase our pace of openings to exceed our originally stated guidance of at least 10 new domestic company-operated Shacks in 2015. We are confident that we will now open 12 new domestic company-operated Shacks in 2015. The two newly added Shacks will open towards the end of the year. Looking to 2016 and beyond, we continue to strengthen our pipeline of new Shacks, and we plan to open at least 12 domestic company-operated Shacks per year moving forward. We've already announced our plans to enter Los Angeles, California, with our launch in West Hollywood; and both Phoenix in Uptown and Scottsdale, at Fashion Square on the corner of Camelback and Scottsdale Road. Our development plan through 2016 looks strong and we are well-positioned to capitalize on our brand strength to secure premium sites in dynamic locations around the country. On the international front, during the quarter we opened our second Shack in the U.K., located on the Street, in the heart of the bustling Westfield Stratford City shopping centre; as well as our third Shack in Moscow, Russia, located in Avia Park, Moscow's newest premier shopping and dining complex. We remain on track to open our stated five international licensed Shacks in 2015 For 2016, so far we have announced the planned opening of our third London Shack on New Oxford Street and our first U.K. Shack outside London in Cardiff, at St David's Shopping Center. Additionally, we expect to open our first Shack in Tokyo, Japan, with our partner The Sazaby League. In addition to growth within our restaurants, the Shake Shack brand continues to grow and create a deeper engagement with our guests on all of our social media channels and beyond. We've seen organic growth across all platforms. Our recent Instagram post, announcing the launch of the ChickenShack at our three Brooklyn Shacks, received nearly 7,500 likes. The most we've ever received on a single posts, which just speaks of the active engagement we have with our guests and their desire to share their Shack experiences with their own communities. This has been an amazing part of the Shake Shack story, since we were born in 2004. And continues to demonstrate the sincere and organic nature, with which we connect with our fans. With that, let me turn the call back over to Jeff, for a more detailed financial review of the quarter.
Jeffrey Uttz: Thanks, Randy. Let's now turn to the results of our 13-week second quarter ended July 1, 2015. Total revenue, which include Shack sales and licensing revenue, increased 74.7% to $48.5 million during the second quarter from $27.7 million in the second quarter a year ago. Shack sales increased 77.9% to $46.6 million during the quarter versus $26.2 million in the year-ago period. The increase was largely due to the addition of 14 domestic company-operated Shacks over the past year, as well as our stronger than expected same-Shack sales growth. Same-Shack sales increased 12.9% on a calendar basis during the second quarter versus a 4.5% increase in the same quarter last year. This consisted of a 4.3% increase in traffic, combined with an 8.6% increase in price and mix. Our second quarter reflected the continuation of many of the positive trends we experienced in the prior quarter, including menu price increases taken in September of 2014 and January 2015 to offset higher commodity costs. The reintroduction of crinkle cut fries, which we believe had a more significant impact to this quarter, that this time last year we were in the later stage of our phased rollout and most of the Shacks were on fresh fries. Positive shifts in mix from the Shake of the Week and the limited offering of our ShackMeister Burger, the extraordinary amount of press surrounding our IPO, and lastly the temporary closure of our Madison Square Park Shack, which may have provided a lift to our other Manhattan Shacks. As a reminder, our comparable Shack base includes only those Shacks that are open for 24 months or longer that we feel is a best comparison, given the long honeymoon periods at our new Shacks. The comparable Shack base in the second quarter of 2015 included only 16 Shacks compared to only 10 Shacks in the second quarter of 2014, in which both years included only six Shacks in New York City. It's important to note, the second quarter same-Shack sales improvement was pretty consistent across all Shacks in the comp base. During our recent success, we continue to reiterate our long-term belief that our Shacks will deliver low-single digit same-Shack sales growth over the long term, given that most of our Shacks already operated very high industry-leading volumes. Average weekly sales for domestic company-operated Shacks increased 7.4% to $102,000 for the second quarter of 2015 from $95,000 in the same quarter last year, primarily driven by menu price increases, positive shifts in mix from menu innovation and strong performance from several Shacks opened in the second half of 2014, including those Shacks in Las Vegas and Chicago. Despite the strong performance this year, we continue to expect our average weekly sales over the long term to decline, as we continue to open more of a target volume Shacks. Licensing revenue increased 20.1% to $1.9 million during the second quarter from $1.6 million a year ago, driven by the opening of eight internationally licensed Shacks and one domestic licensed Shack over the past year. Let's now turn to the expenses for the quarter. Food and paper costs, as a percentage of Shack sales, decreased 110 basis points in the second quarter to 29.4%, driven primarily by the previously mentioned menu price increase, which partially offset higher beef cost. That coupled with lower dairy cost and certain supply chain initiatives provided better than expected margins during the second quarter. Looking ahead, we expect continued pressure on beef prices. And additionally, we are closely monitoring the effect of the avian flu outbreak, which is negatively impacting the cost of eggs, which is a key ingredient in our frozen custard base and in certain of our sauces. We anticipate overall commodity inflation to remain at elevated levels for the remainder of the year and into 2016. Therefore, we continue to project inflated food and paper cost over last year and throughout the remainder of 2015. Labor and related expenses, as a percentage of Shack sales, were 24%, a reduction of 150 basis points compared to the prior year, as a result of higher Shack sales and from reduced labor requirements from the return of crinkle cut fries. Over the next few years, we continue to expect deleverage on the labor line, as target model Shacks make up a larger percentage of our base and as minimum wage increases continue to pressure our labor cost. We have always taken care of our team and offered competitive compensation packages. In July, we took a proactive approach to rising minimum wages in a competitive labor environment, and chose to raise the starting wage at our four Shacks in the Washington D.C. market to $12 per hour. Minimum wage is pressuring the overall restaurant industry, and we don't see this pressure easing any time soon. As we look at the minimum wages, we are going to stay proactive with our compensation practices, recruiting and with the development of our team. Taking care of our team members first will always drive our decision making. And as a result, we expect deleveraging on the labor line over the long term. Occupancy and related expenses, as a percentage of Shack sales, decreased 20 basis points to 8.3% versus prior year, driven by the higher Shack sales. Shack-level operating profit, a non-GAAP measure, grew 110.9% to $14.1 million from $6.7 million last year, mostly due to the flow-through captured on the higher Shack sales. As a percentage of Shack sales, Shack-level operating margins increased roughly 470 basis points to 30.3%, as we leverage labor and other operating expenses. We remain proud of the strength of our current Shack of economics. However, long term we're still targeting AUVs in the $2.8 million to $3.2 million range for new Shacks. And given some of the cost pressures, I mentioned earlier, Shack-level operating profit margins in the 18% to 22% range. As more of these target volume Shacks enter the base, our overall company-operated Shack AUVs and Shack level operating profit margins are expected to decline overtime. General and administrative expenses increased $2.5 million to $6.1 million during the second quarter of 2015 from $3.6 million in the same quarter of 2014, primarily driven by incremental stock-based compensation expense related to the stock options that we granted in connection with the IPO; increased payroll cost related to the additional home office personnel that were hired to support our long term growth; and the inclusion of expenses related to our Annual Leadership Retreat in this quarter. This Leadership Retreat was held in the first quarter of the prior year. As a reminder, because our IPO price is above the filing range, recurring stock-based compensation expense will remain relatively high in 2015. As a percentage of total revenue, G&A decreased to 12.5% from 13.1% in the prior-year period, despite the increased cost associated with being a public company and the incremental stock-based compensation expense I mentioned earlier. Adjusted EBITDA, a non-GAAP measure, grew 136.5% to $11.2 million in the second quarter compared to $4.7 million in the prior-year period. And as a percentage of total revenues, adjusted EBITDA margin increased roughly 600 basis points to 23.1% for the second quarter. We reported net income of $1.1 million or $0.08 per fully diluted share for the second quarter of 2015 compared to net income of $1.9 million or $0.06 per diluted unit for the same period last year. On an adjusted pro forma basis, which excludes non-recurring items and also assumes that all of the outstanding LLC interest were exchanged for Class A common stock, whereby we would no longer present a non-controlling interest, we earned $3.4 million or $0.09 per fully exchange and diluted share compared to $1.1 million or $0.03 per fully exchange and diluted share in the second quarter in last year. Following the strong results for the first half of 2015, we are also raising our guidance for 2015, and we now expect total revenue to be between $171 million and $174 million compared to $161 million to $165 million, as we previously estimated. Same-Shack sales are now expected to increase mid-to-high single-digits for the full year compared to low-to-mid single-digits, as we have previously estimated. There are some quite lower same-Shack sales on the second half of the year compared to the first half. Due to the lapping of menu price increases taken in September of 2014; the return of crinkle cut fries, which we will lap in the second half of 2015; the limited offering of the ShackMeister Burger, which ended in July; and a significant amount of press, following our IPO, which has a provided a lift in sales in the last two quarters, but is not expected to continue. As a reminder, we currently only have 16 Shacks in our comp base, of which six are located in New York City. Our Madison Square Park flagship reentered the comp base in May. And in October, the month in which it closed last year, it will come back out of the comp base again. As Randy previously mentioned, we are confident that we will now open 12 new domestic company-operated Shacks in 2015, and we continue to target five internationally licensed Shacks for fiscal 2015. And looking to 2016 and beyond, we continue to strengthen our pipeline of new Shacks and plan to open at least 12 domestic company-operated Shacks per year for the foreseeable future. And with that, I'll turn it back over to Randy for some final points.
Randall Garutti: Thanks, Jeff. I could not be more proud of our team and what they've accomplished this quarter. It's exciting to see how we've capitalized on the wind at our back and taken this opportunity to grow our roots even deeper for the years ahead. And with that, I do want to share some exciting innovations happening on our menu. Our team continues to embrace our fine dining heritage, as we develop new products around the core menu. Through the second quarter we continue to see a positive mix shift from our limited-time offering of the ShackMeister Burger, which has since rolled off our menus in the last week of July. This burger was a great addition to our menu, and due to its success we chose to add a new limited-time offering, which began on July 27, the Roadside Shack. This is our tribute to the old roadside burger stands that have dotted American highways for generations. The Roadside Shack is our classic cheese burger, topped with beer and bacon simmered onions. This new burger replaces the ShackMeister Burger at the same price point of $6.19 and will run for a limited time. Also, in the beginning of July, we launched the ChickenShack, Shake Shack's first-ever chicken sandwich. The ChickenShack is a crispy all-natural antibiotic-free chicken breast, served with shredded lettuce, pickles and our buttermilk herb mayo. Due to an overwhelming response, the ChickenShack sold-out within two days, and returned to the menu a week later. It's currently available for a limited time, exclusively at our three Shacks in Brooklyn. The guest response in Shack and on social media has exceeded our expectations and we're learning a lot, as we continue this limited offer. Before we move to the Q&A portion of today's call, I would like to once again thank all of our truly dedicated and passionate team members, who have created the excitement and strong momentum, driving our company to date. With that, operator you can go ahead and open the lines for questions.
Operator: [Operator Instructions] And we'll go first to John Ivankoe with JPMorgan.
John Ivankoe: Just a clarification, so the Madison Square unit, you've argued for the better part, I guess since last October, that you thought it was helping your New York restaurants from a comp perspective. Now that Madison Square has come back in and is reopened, has there been that corresponding negative effect on the New York restaurants that you possibly saw as a benefit in the last seven months?
Randall Garutti: John, it's a little early to tell. We have really only one month of results in the second quarter on that, and that was really in the reopening, getting our feet wet and getting going again. We're not going to talk about mid-quarter results here in Q3. But what we can tell you is, it's open, it's rocking and people are lined up again. And time will tell, as the year goes on, how that has impacted. And we're going to continue to be conservative as we did today and in previous quarters, saying we're just not sure of how that impact worked. And we're going to be careful watching that in the coming quarters.
John Ivankoe: Let me ask you this, if I heard right, Madison Square comes back in the comp base in May and then it goes out again in October?
Randall Garutti: That's right. It will go out again. When it was closed, since it has nothing to comp again, so it will go out from October through the following day.
John Ivankoe: So presumably in the third quarter you get that year-over-year benefit of Madison Square doing much better year-over-year. You have a bigger restaurants, I think it's fair to say your sales are up '15 over '14. Correct me if I'm wrong? But then it comes out again under the reported comps for your fourth quarter. So there could actually be a more negative effect on the fourth quarter than the third quarter?
Randall Garutti: That depends on its performance, as I said. And I didn't say that. Madison Square Park is not a bigger restaurant. What we did is fixed the restaurant that was never built to be a year-round restaurant, added about four-feet in the back, so it's really not a bigger restaurant and we went underground, so we didn't have to have a commissary as we did in the past. So we're learning today and we'll keep you posted on its performance relative to two years past.
John Ivankoe: And then my second question is on labor cost, especially in New York. You called out the $12 pay in DC. But obviously, New York metropolitan or your New York City, I guess, more specifically a bigger more important market to you from a revenue mix perspective. So how is Shake Shack thinking about the governor's mandated wage increases affecting the industry overall and how might you respond, firstly in terms of paying your people more, but also do you think you have other opportunities around pricing or productivity initiatives to lessen the financial impact?
Randall Garutti: John, the first price increase will come in December -- the first labor increase will come in December. There's no doubt it can take a toll on the entire industry. We've always paid above minimum wage and we're well-positioned to increase that as we need to. And we're going to always, as we said, lead with taking care of our team. We do believe, as we've said, when you look at the results certainly of this first half of the year that have been so strong, we do expect deleverage on the labor line over these coming years as minimum wage goes up. And I think some of the good news that you alluded to is there, that we've taken 6% price this year. And our traffic is up, our sales are up, we've continued to find ways to menu innovation to drive sales. And that's going to be our focus. Our focus is going to be on taking care of our team the right way to put the best people in front of you, when you come to Shake Shack and continue to drive sales to take forward and keeping a strong business. But we have a lot to learn and we'll keep you posted as those raises come on board.
Operator: We'll go next to John Glass with Morgan Stanley.
John Glass: Jeff or Randy, just the 18% to 20% long-term margin goal, maybe you could just put that in the context of what you're experiencing right now? You seem to be so far above that that doesn't seem like realistic any longer. And I understand you've had great comps and you've had a lot of mix benefits from that. Can you maybe just talk about what margins look like now in the non-comp storage? Maybe give us a guide of is this just really even been better on the comp stores and a lower margins on the non-comp stores? And we're not seeing underneath the average there is a bigger disparity. How we understand that difference? And also as your volumes have grown, how you not seen more labor inflation, for example, in the P&L, how you've mitigated that? And have there have been labor saving devices you've already been able to use to keep that in control?
Jeffrey Uttz: So the 18% to 22% margins that we talked when you put in together your model, as you talked about it, you mentioned that the 12.9% same-Shack sales that we experienced really helped us leverage that quite a bit. And going forward as we start to lap some of the things that I've talked about in the release, the price increase, and some of the other things that we're going to be lapping, we just don't think its prudent to model anything more than 18% to 22%, that's what history has shown, that's what we're comfortable with right now. But the flow through that we got from that, 13% same-Shack sales was pretty good and really helped that line. And as we've talked about we just don't believe that a 12.9% comp is sustainable and that's why we're guiding you the way we're guiding you and I think it's prudent to keep it at 18% to 22% going forward.
John Glass: And then just a couple of things. One is on the food cost line, does it sound like food cost bottomed this quarter? It still seems like you've got favorable food costs, from beef standpoint, maybe just where are you actually seeing an inflection for example in customer prices that would dry food cost out from the second quarter level?
Randall Garutti: Yes, we're remaining a little cautious, John. As you know, we follow the market in our major baskets of beef and dairy. So beef is still up, high-single digits from last year for us, even in Q2. So we're being conservative about what that means for the rest of the year. And we just don't see the light at the end of the tunnel there just yet for sometime. We've been winning on dairy as of late, but then as Jeff noted starting to get a little more expense. Eggs are up. Our dairy costs have gone up. But that has been the contributor to a strong COGS performance in last two quarters. However, we continue to believe in mid-single digit inflation in that line throughout the end of the year.
John Glass: And just one last one. What was the notion to buy this launching chicken in a couple of restaurants? Is that how you've done those new -- if there has been any precedent for this, that's how you do it in the past or is there any reason why you wouldn't have that system-wide relatively soon?
Randall Garutti: It's something we got to learn a lot about. What we like about chicken as we look at it is balancing out our risk in proteins. As you know we've basically been a beef restaurant, all this time, the majority of our basket is beef and we've looked at that. But what led to it, John, there are a lot of people asking for chicken sandwich and our team probably for about two years testing, having some fun creating and landing on the ChickenShack that's just an extraordinary sandwich for people. Their feedback has been amazing. You do a search on Instagram for ChickenShack and you'll get many thousands of posts of people having a good time and loving it. So it is an interesting thing for us to watch. We have only planned today for the three Brooklyn Shacks for a limited time. As we learn more about what it means for us and our mix and the menu, we will keep you all posted on what we may or may not do with chicken down the road.
Operator: The next question is from Jeffrey Bernstein with Barclays.
Jeffrey Bernstein: Couple of questions as well. First one, I know you mentioned in the release, and I think you mentioned on the call as well, that pumping up the unit development for this year and presumably next year, you attributed I guess to more favorable development opportunities. Just wondering, if you can give a little bit context to kind of whether you're seeing a different reception today versus a year or two ago or are you getting better locations or terms or what exactly does that mean in terms of kind of getting more favorable development opportunities?
Randall Garutti: Yes, it's been exciting. Obviously, we've always gone for great locations. So I wouldn't say that what we're seeing is any better. I think it's continuing to execute on the same plan of a real estate in great market that will drive Shake Shack's AUVs and our business overall. The two that we're able to add, we were fortunate, we got to bump those up. They were intended for next year. We've got some favorable conditions on permitting and constructions, so those are going to allow us to open those two later this year. We're also confident of our pipeline. Our development team is out there, hitting the road and doing a great job. There is no question there is a lot of developers out there, and landlords who understand our story more than ever, due to the IPO and given the increase in geographic reach of Shake Shack. People want a Shake Shack and we're thankful for that and we're going to go and take this opportunity to ramp that up to at least 12 Shacks a year.
Jeffrey Bernstein: And then the new market performance, I know you're slowly entering into more and more new ones, but the ones we have been for a bit, whether it's Vegas, I know it's hard to consider a normal market, but Chicago, Boston, any color on that relative to your, I guess, that you just talked about earlier kind of your non-New York City guidance for the more conservative I guess $3 million in volume and 18% to 20% restaurant margin, how those are the markets are playing out in the early days relative to that?
Randall Garutti: We've seen geographic strength everywhere. The reception has been really strong. I think one of the things about being the brand of Shake Shack is, when we do arrive, we're able to really capitalize on a strong start. We've spend a lot of money on our startup cost to open our restaurants the right way, and take care of everyone that's coming in. So we're really happy with new markets of Austin, of Chicago, Vegas, of Baltimore. And we continue to grow around Boston this year. We've got a great pipeline in and out of New York and we're really excited about wherever we've gone, we've seen a strong response.
Jeffrey Bernstein: And then just lastly any update on, being that throughput is a challenge, especially when you have the demand you have, but on the mobile order and the payment, I know you guys were testing different things, but is there anything we can look forward to in a short-term or is it still ways away?
Randall Garutti: No, not at this time. We're continuing to look at it and continuing to look at the way we operate in the restaurants everyday, there has been an increase in traffic this past quarter and teams have been doing a great job taking care of more and more guests everyday.
Operator: We'll take our next question from Karen Holthouse with Goldman Sachs.
Karen Holthouse: A quick question on the unit growth side of things. You're trying to look at the gap between average weekly sales growth and comp growth, so trying to get a sense of new store productivity. It looks like that gap was a little bit more narrow this quarter than it's been? But I would assume, also that Shake Shack coming back to the -- sorry, Madison Square Park location coming back in, changes that a little bit. But if you're just looking at new store productivity and sort of apples-to-apples market, should we still be thinking about things are similar to the materials that we have previously gotten or some of the benefits that the whole system is seeing on the topline, on the comp line? Is that also impacting productivity around new units' awareness, that sort of thing?
Randall Garutti: Yes, I think you got it on your last comment there, Karen. It is affecting us across the system. The increase, the comp of 12.9% has been very strong contributor to the better performance that led to a 30.3% Shack-level op profit this quarter. So many of the Shacks just continue to capitalize on that and have done a great job of flowing through. So nothing new from the way we've talked about in the past. And considering how you think about it, and again nothing new iterating for the long-term Shacks in that 20% op profit range and in the $3 million range, that's where we believe the long-term majority of Shacks, which are some really strong numbers will continue to go.
Operator: We will take our next question from Sharon Zackfia with William Blair.
Sharon Zackfia: Jeff, I was hoping you could give us some update on what you expect for company on the operating weeks this year, given the incremental Shack that you'll be opening, the extra one or two?
Jeffrey Uttz: I would build that in later in the year, towards the back half of the year, so I don't have an exact number on the operating weeks in front of me, but put it in towards the back half of the year.
Sharon Zackfia: And then on wage inflation, following up on an earlier question, could you talk about where your wage inflation is right now and kind of what the outlook is for the back half of the year and into 2016?
Randall Garutti: Well, Sharon, it's been down so far this year again due to the increased comp and the increased performance. So we haven't seen a whole lot of wage inflation this year. We gave quite a good raise to our team about a year-and-a-half ago. We've been living with that for a while, outside of our change in D.C., which is a brand new change that just happened in July. We have continued to see really strong labor performance across our Shack. If you recall, one of the things that we talked about in the past, at this time last year most of our Shacks actually had a higher labor, because we were doing the crinkle fresh cut fries, that increased labor quite a bit. And now not having that, we've rather come down. In addition, with the increased sales the flow-through has been strong. So again, over the long-term as minimum wage creeps upon us as it will for the entire industry, we do expect deleverage on that line in the future from the results you're seeing today.
Sharon Zackfia: I guess I was just trying to separate productivity on which I would relate to that the French fries versus the actual average hourly pay. So if you just look at average hourly pay, I mean I would assume that has to be going up.
Randall Garutti: That's right. And our productivity has gone up obviously because of the increased sales that we've noted.
Jeffrey Uttz: And Sharon, one of the things, and I think John Glass might have asked this too and I didn't answered him fine, but I think that one of the things when you think about it, for the increased sales is, there is a number of Shacks out there where the kitchen gets, it gets to a max where you really can't get another person in the kitchen. And at that point your labor becomes fixed and you really get quite a bit of leverage. As you've been in Shacks, the kitchens are not particularly huge, but they're very, very busy restaurants. I mean you get so many people in there and then you can't add another person, you get quite a bit of leverage from each additional person that comes in the door.
Sharon Zackfia: I guess one last question kind of following-up on John's question earlier as well. What would make you rethink 20% is the right long-term restaurant-level margin? I mean what would you need to see in the business?
Randall Garutti: Well, we'll keep you posted on that. I mean nothing today. Right now, we believe as we head towards our goal of domestic Shacks of 450 restaurants over the long-term, those are some really good numbers. And we're going to be proud to continue to deliver on those. So if we continue to have moments where we rethink that, we will let you know, but today, that's the plan.
Operator: We'll take our next question from Paul Westra with Stifel.
Paul Westra: This quarter, the price increase, can you quantify that what second quarter pricing was 6% or 7%, how much is falling off again in September? And just maybe a little more details on how you're thinking about, if you're thinking of any to add some more pricing as of September as pricing falls off? And if so are you looking to target certain markets, maybe minimum wage is up and take more pricing, as it will be a little bit more of a national pricing strategy?
Jeffrey Uttz: So just to give a history on the price increase, the beginning of September of 2014 is when we took 3%. The way you're going to see is one month at the end of Q3 we'll lap over that 3% price increase. And then the second 3% that we talked about to get to the 6 happened at the beginning of 2015. And then as far as the pricing, we plan to take this year, we don't have any plans to take any additional price this year. Historically Shake Shacks has always taken very low annual price increases in the 1% to 2% range. This 6% that we took over the last year was anomaly and was a direct response to increasing commodity prices primarily beef. And unless there is some skyrocket into beef, we have no plans to take any more this year and we'll see as we get into next year what we'll do.
Paul Westra: And as far as you have some of the spikes, principally in the New York City minimum wage spikes, let me just, do you have the flexibility? And in the past you've taken targeted price increases in geographic locations flow through everywhere?
Jeffrey Uttz: We may. Today, we have basically the same prices across the nation, but we're not stuck with that. If we need to for a certain region that may have a different pressure on the COGS line or payroll line as you noted, we may choose to do that, but we have no plan to do that through the rest of the year and we'll look at that little more closely as those changes come into effect.
Paul Westra: And just kind of long-time, is there a way to quantify how much this wage rate -- as part of the wage rate question, I mean year-over-year wage rate, if I look at the hours are down, because of cut price. I think it would be helpful to get some quantification of how much the wage rate is going up on a year-over-year basis?
Randall Garutti: We would not provide any information at this time, Paul.
Paul Westra: And lastly, on international, just given the more color on sales trends, opening volumes, I don't know if could give roadmap for the future opening, but is there any more clarity or cost qualifications on how the international stores are doing?
Randall Garutti: Well, we have increase 20% year-over-year mostly due to the new Shacks that we opened throughout different markets. But we're not going to breakout any unit-by-unit performance there. Our international business continues to grow. It's a great business for us. And it performs similarly through our domestic business, where we open hot, in a year or two things come down a bit, and then it starts to grow back up in year three. That has been the general performance, but for the most case we have of the 29 Shacks, the majority of them were built in the last couple years. So we'll continue to learn how that business is going to go. We're excited about launching in Japan in 2016 too.
Operator: We'll go next to Matt DiFrisco with Guggenheim Securities.
Matt DiFrisco: Just wondered, if you can give us some commentary on what you're saying on sort of the newer stores that have opened, not sort of the iconic locations like a Vegas one or so, but if you could, I guess it's a question that's been asked couple of times here more so on, the progression of how we should see some of these averages come down, as you move away from the $5 million openings and more towards these $2.5 million to $3 million openings. Is that being seen now? And is that the run rate that you're seeing at these newer stores or are they surpassing and exceeding the initial targets that might be, I guess, by some perceive to be conservative?
Randall Garutti: We're not going to breaking out store-by-store or by region. What we can say is as you've seen in the average weekly sales and the total performance of this quarter, it's been strong everywhere. We are not changing our long-term outlook that on average we will see that $2.8 million to $3.2 million of those new stores. Of course, within that there are Shacks that are busier, right. We've talked about some of those on previous calls, some of the more flagship location. And within that, there maybe some that are slower than that average. And that's why we think that average, but look at over the long-term. And that's really why we've picked out that average to look at over the long term and that's really what we want to talk about today. We've had a great start to the six Shacks that have opened in Mexico this year. We're excited about that. And it's really early result for the rest of it. So we're watching it and excited about where we're heading.
Jeffrey Uttz: And Matt, it's Jeff. Something I think you should also think about too is the IPO lift that we talked about at the existing Shack could have an impact on some of the new Shacks we're opening now as well. People have never heard of it. Maybe it's another region and now they're saying, gosh, I've heard the news on Shake Shack and it could be probably over there. So we think its conservative to go with the $2.8 million to $3.2 million that we've always talked, because next year we may not have IPO hype. We won't have that IPO hype
Matt DiFrisco: I guess, also just as a follow-up question to the question about chicken earlier, I understand you're doing it sort of in a test and you're gathering learnings from it, but is there any reason why not to that this could not be rolled out on a national basis, say this time next year, could be in all your stores and going forward as a full-time menu item?
Randall Garutti: Way too early to say, Matt. Have you had a ChickenShack yet, I hope you come by and have one. It's really good sandwich. We'll keep you posted on where we're headed, but really too early to say at this time.
Matt DiFrisco: Well, I'm not asking plans, all I'm asking is there anything restrictive from the supply that you're getting, where you're sourcing it from, or the format of the stores, or the cooking process, or should it just be simply implemented as an additional menu item if you chose to?
Randall Garutti: I think any implementation across the entire system is a major undertaking, so there is a lot that we need to consider. So that's why we're taking our time on it. So at this time, I couldn't say what that thing would be, but we're continuing to listen, learn and get guest feedback and see how it goes.
Operator: Thank you. And with no further questions in the queue, I'd like to return the call back over to Mr. Garutti for any additional or closing comments. End of Q&A
Randall Garutti: Thanks again, everybody. I appreciate your time and hope you all have a goodnight. Take care.
Operator: That does conclude today's call. Thank you for your participation.